Operator: Good day ladies and gentlemen and welcome to the second quarter 2012 financial results conference call. My name is Johnson and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today’s conference. (Operator Instructions). I would now like to turn the presentation over to your host for today’s conference to Ms. Cindy Wyrick, Director of Investor Relations. You may begin.
Cindy Wyrick: Thank you Johnson and good morning everyone and thank you for joining us today as we review the financial results for the second quarter of 2012. Joining me this morning is our Chairman, President and CEO, Peter Ho; our Vice Chairman and Chief Financial Officer, Kent Lucien; and our Vice Chairman and Chief Risk Officer, Mary Sellers. Our comments today will refer to the financial information included in the earnings announcement this morning. Before we get started, let me remind you that today's conference call will contain some forward-looking statements, and while we believe our assumptions are reasonable, there are a variety of reasons that the actual results may differ materially from those projected. And now I'd like to turn the call over to Peter Ho.
Peter Ho: Thanks Cindy. Good morning everyone. Thanks for joining us today. Financial results for the second quarter of 2012 represent another good quarter for Bank of Hawaii. We continued to generate loan and deposit growth. Consumer checking account count grew 8% year on year, and we maintained our commitment to strong and risk expense management. In line with the industry, our net interest margin was adversely impacted by the low interest rate environment that we find ourselves in for the quarter. During the quarter, we repurchased $20 million of stock, continued to pay our dividend and retained strong levels of liquidity, capital and reserve. Now let me turn the call over to Kent to review financials.
Kent Lucien: Thank you, Peter. Good morning. Net income for the second quarter was $40.7 million or $0.90 per share, compared to $43.8 million or $0.95 per share in the first quarter and $35.1 million or $0.74 per share in the second quarter of 2011. Our return on assets in the second quarter was 1.19% and return on equity was 16.2%. Year to date net income was $84.6 million or $1.85 per share compared to $77.5 million or $1.62 per share in 2011. Year to date return on assets was 1.24% and return on equity was 15.7%. Our year to date efficiency ratio was 57.6%, a reduction from 59.8% in 2011. Our net interest margin in the second quarter was 2.98% compared to 3.06% in the first quarter and 3.16% in the second quarter of 2011. Year to date net interest margin was 3.02% compared to 3.20% last year. Lower margin is due mainly to the lower interest rate environment. The credit provision in the second quarter was $628,000, compared to $351,000 in the first quarter and $3.6 million in the second quarter of 2011. The credit provision for the second quarter included net charge-offs of $3.8 million and a $3.2 million decrease to the allowance. The credit provision for the first quarter included net charge-offs of $3.4 million and a $3 million decrease to the allowance. Our allowance for loan and lease losses at the end of the second quarter was $132.4 million or 2.3% of outstanding loan and leases. Non-performing assets were $41.5 million at the end of the second quarter and represented 0.73% of loans. Included in non-performing loans are $26.8 million in the residential mortgage loans as of June 30. Non-interest income for the second quarter was $46.8 million compared to $48.1 million in the first quarter, and $49.5 million in the second quarter of 2011. The decrease to the first quarter was primarily due to a $3.5 million gain from the sale of our equity interest and two leverage leases, partially offset by a $1 million loss on a direct financing lease in the first quarter. The decrease compared to the second quarter of 2011 was primarily due to $4 million lower debit interchange revenue as a result of the Durbin amendment. Mortgage banking results were strong in the quarter, producing $7.6 million of income versus $5.1 million in the first quarter. Year to date non-interest income was $94.9 million compared to $103.4 million in 2011. The decrease was primarily due to lower debit interchange revenue and $6.1 million in securities gains in 2011, partially offset by higher mortgage banking income. Non-interest expense totaled $80.7 million in the second quarter, compared to $85.2 million in the first quarter and $93.8 million in the second quarter of 2011. The increase compared to the first quarter was due to lower salaries and benefits expense and $1.2 million for our personal computer refresh program in the first quarter. The decrease compared to the second quarter of 2011 was primarily due to the $9 million legal settlement related to overdraft plaints in 2011 and lower salaries and benefits. Year to date non-interest expense was $166 million compared to $179.9 million in 2011. The effective income tax rate was 33% in the second quarter compared to 27.6% in the first quarter and 29.1% in the second quarter of 2011. The lower rate in the quarter was primarily due to the sale of our equity interest in two leveraged leases which resulted in a $2.7 million credit to the provision for income taxes. The lower rate in the second quarter of 2011 was primarily due to our lease and reserves due to the closing of the IRS audits for two-tax years. Our investment portfolio now stands at $7. billion and we have unrealized gains in the portfolio of $167 million. The average duration of the AFS portfolio is 2.3 years and overall portfolio duration is 2.7 years. Loans were $5.7 billion at the end of the second quarter, up $73million compared to the end of the first quarter, and up $320 million from the end of the second quarter of 2011. Deposits were $11.5 billion at the end of the second quarter, up $927 million compared to the end of the first quarter, and up $1.6 billion from the end of the second quarter of 2011. Customer shifted approximately $700 million and wholesale funding with government entities to public time deposits during the latter part of June. Our shareholders' equity was $1 billion at the end of the second quarter and we paid out $20.5 million in dividends and continued our share repurchase program in the second quarter, repurchasing 425,000 shares of common stock for $20 million. The Board also increased repurchase authority by $75 million. Last Friday, our Board declared a dividend of $0.45 per share for the second quarter. Our capital position remains strong and at the end of the second quarter our tangible common equity to risk-weighted assets was 17.6%. Now, I'll turn the call over to Mary Sellers.
Mary Sellers: Thank you Kent. Net charge-offs for the second quarter totaled $3.6 million, down $40,000 on a linked quarter basis and down $2.2 million year-over-year. The year-over-year decrease was largely due to a $1.7 million decrease in consumer net charge-offs mainly in home equity. Non-performing assets totaled $41.5 million at quarter end, compared to $41.4 million at the end of the first quarter and $34.2 million at the end of the second quarter of 2011. Residential non-accrual assets accounted for $26.8 million of the total at quarter end. As we have discussed in the past, the level of non-performing assets will continue to be impacted in the near-term, due to the longer resolution time for residential assets. Loans past due more than 90 days and still accruing interest totaled $7.2 million, down $2.9 million on a linked quarter basis, and down $604,000 year-over-year due to a decrease in residential mortgage. Restructured loans not included in non-accrual loans or loans past due 90 or more days totaled $31.1 million at quarter end, up $1.6 million from the prior quarter, primarily due to an increase in residential mortgage loan modification. Residential mortgage and home equity loans past due more than 30 days, but less than 90 days and still accruing interest totaled $10.4 million and $6.7 million respectively at quarter end. Residential mortgage was down $4.8 million quarter over quarter and $6.9 million year over year while home equity was up $581,000 quarter over quarter and $290,000 year over year. We continue to see improvement on a linked quarter and year-over-year basis in what we consider to be the higher risk segments in our portfolio. In total, these higher risk segments were down $4.6 million for the quarter and $19.8 million year over year. For the quarter, the provision for loan on lease losses was $628,000, which given net charge-offs of $3.8 million, reduced the allowance by $3.2 million to $132.4 million or 2.3% of outstanding loans and leases. Absent significant deterioration in the economy and with continued improvement or stability in credit quality, we anticipate that we may require a lower level of allowance going forward. I’ll now turn the call back to Peter.
Peter Ho: Great, thanks Mary. The Hawaii economy remains stable. Unemployment rates remain well below that of the national average as they have for some time now. Single family home prices here on Oahu are beginning to trend up. Our visitor industry, our number one industry here in the state, is having a great year, up 17%, driven mostly by international visitors. Defense sector for us remains stable and construction which peaked in 2007 appears to be bottoming at this point. We will see if the number of condo projects and single family projects on the books have a positive effect on the cycle moving forward. Now we’d be happy to respond to your questions.
Operator: (Operator Instructions) And your first question comes from the line of Aaron Deer with Sandler O’Neill & Partners.
Aaron Deer - Sandler O’Neill & Partners: Just sort of question on the, I guess on the margin, obviously the asset yields are under pressure, and I am wondering what more you might be able to – might need to do on the funding side and then preserve your margin going forward?
Kent Lucien: Yeah, there is really not too much more to be done on the funding side. Deposit pricing is already quite low. We do see a tick here and a tick there between the quarters. The long term repos are just bad the long term, they have make-whole provisions. So I think it’s unlikely that we will be able to really reduce that costs in the near term.
Aaron Deer - Sandler O’Neill & Partners: And so I imagine, you probably will spend some time, we’ll have the Basel III proposal, how that might affect your capital ratios, can you talk about maybe, to the extent you have done the analysis that can show you the results, where your pro forma capital ratios shake out under the new proposal and what that might mean for your buyback going forward?
Kent Lucien: Yeah we have done some great preliminary work, and so I don’t want to cite any specific numbers. But generally, we think the risk weighted assets may go up a little bit but not substantially. And the unrealized gains in the portfolio through AOCI that’s included in tier 1 capital might even increase some of our ratios. Now the AOCI portion is rolled out over five years in small bits and pieces. So it depends on what the market is at the time. But just based upon that, it would look like it would have a positive impact to us.
Aaron Deer - Sandler O’Neill & Partners: So you would not anticipate, as you kind of prepare for that going forward, impacting your pace of your share repurchase program as has been for recent quarter?
Kent Lucien: At this point, no, but it would caveat. And the caveat is it really depends on the – if AOCI included, what are the market conditions and that sort of thing.
Operator: Your next question comes from the line of Casey Haire with Jefferies.
Casey Haire - Jefferies & Company: Just a question, I guess on the loan pipeline, and just an update there. Looks like commercial was pretty weak this quarter, resi was very strong. Is that what we should expect going forward?
Kent Lucien: Well, what we try to do is effectively keep our loan categories in reasonable balance here. And so resi has up for obvious reasons. It had a very strong couple of quarters which is reflecting on our balance sheet. I would look to see that level at least on the balance sheet moderate somewhat, and what we are hoping is that we see a continued movement in our commercial segment. So if you look year over year commercial balances were up 3%. That’s a bit impaired by our leasing business because as you know that’s a business that we are de-emphasizing. And so we are seeing a fair amount of shrinkage in the outstanding there. If you net that number out and just look at pure C&I, commercial real estate and construction lending, we are actually up 5.6% year on year, which is about the level that we think we can be looking at in the environment that we are in today. So I think commercial has some upside. Certainly that’s what we are seeing in the pipeline. Looking at the consumer, kind of home equity, dealer and direct, assuming the economy continues to operate at a level that it is, I think we will begin to see growth in that segment, certainly won’t have the reductions that we experienced in that segment for the past couple of years.
Casey Haire - Jefferies & Company: And then just on the expense side of things, obviously pretty good results this quarter, looks like your efficiency initiatives have started to filter through. Can you just give us an update as to where that stands right now? Is this – are we kind of now at the right run rate or is there more benefits trickling through?
Kent Lucien: Well, we’re going to keep working at it. We are not done in terms of trying to become as efficient as possible. Now there can be ups and downs, and for example, to the extent we’re involved in the credit card business, there could be some higher expense levels associated with that business. But as a trend, we are going to keep working at that and we are hopeful that we can in fact reduce expenses even more.
Casey Haire - Jefferies & Company: It looks like it mostly came from the comp line but head count was only down very slightly. I know there was some FICO roll-off but what exactly was – how did you guys do it without reducing head count all that much?
Kent Lucien: Well, I think you have to look at the longer term, and if you look at kind of year over year, we are down right around 1.5% on employee count. So sometimes it takes a while to catch up in terms of expenses, and that’s we are starting to catch up.
Operator: And your next question comes from the line of Craig Siegenthaler with Credit Suisse.
Unidentified Analyst: Hi, this is actually Nick Carson standing in for Craig. I guess if I can follow up on the previous question. Just to kind of go through the salaries and benefits and talk a little bit more about the individual move, looks like the salary line was down about $850,000 quarter over quarter and there was a pretty significant reduction in the retirement and other benefits line. I was just wondering kind of how we should think about this going forward and what the realistic run rate –
Kent Lucien: Yeah, the retirement situation is a function of how we fund that plan. The plan is frozen, the funding of the plan itself has a lot to do with expense level. But I think the salary category is a definite trend that we are hoping to continue to see improvements in, and certainly the overall salary and benefits is a trend that we are continuing to work on.
Unidentified Analyst: I guess switching gears a little bit, it looks like the securities portfolio kind of an end of period basis was down about $200 million but on the average balance was relatively flat quarter over quarter. Is this something that could decline a little bit with the rates where they are?
Kent Lucien: It’s possible, we chose kind of right at the end of the period not to make some investments. So that’s going to depend on the overall funding of the bank. If funding increases and we will have to add to the portfolio, if funding decreases, we can reduce the portfolio.
Unidentified Analyst: And if I guess where is the new money yield for the second quarter?
Kent Lucien: So we repurchased that at average yield of 1.85%, and the run off was at 2.81%, so about 100 basis point differential.
Operator: Your next question is from Joe Morford with RBC Capital Markets.
Joe Morford - RBC Capital Markets: I guess first is just a follow up on the margin type questions. I was curious how much of the drop in the margin if any can be attributed to increased premium amortization in the quarter?
Kent Lucien: The increase in that category was $1.2 million compared to the first quarter.
Joe Morford - RBC Capital Markets: And then second was just curious if you talk about the mortgage banking pipeline going into the third quarter and just how you feel about that line item through the balance of the year?
Peter Ho: It’s fine Joe, every year we say, what are we going to do next year with no – with no refi boom and we have been wrong three years in a row. So we are kind of midstream through that, I guess 2012 addition. So we should continue to see activity through the pipe pretty strong moving forward. Now that’s different from what ends up on the balance sheet as you know. So it shows loans show up on the balance sheet and represent longer term yield for us or we sell them off into the secondary and pick the gain on that. But overall activity just volume wise is pretty strong.
Joe Morford - RBC Capital Markets: And what about the gain on sale margin, how is it up and trended?
Peter Ho: About 2%, it’s been up.
Operator: Your next question comes from the line of Jeff Rulis with D. A. Davidson.
Jeff Rulis - D. A. Davidson: Question on the – I guess just the other non-interest income line $4.1 million, nearly half of Q1 level. Was it Q1 that contained some one-time stuff or –
Kent Lucien: Yeah the gain on the lease transactions, or three of them, was in the other category in the first quarter, that just didn’t repeat in the second quarter.
Jeff Rulis - D. A. Davidson: And then I guess one follow up for Mary, perhaps, you sort of alluded to the provision, all things being equal, could potentially be lower. What element does loan growth have in that – you booked some decent growth and I guess how does that translate into the overall provision in your comments about it potentially being lower?
Mary Sellers: I think loan growth definitely attracts some reserves but given the quality of what we are seeing come into the portfolio, I think that will be relatively modest in terms of determining what the overall level of these reserves is.
Operator: And your next question comes from the line of Brett Rabatin with Sterne, Agee.
Brett Rabatin - Sterne, Agee & Leach: Wanted to ask around the credit card business, can you give us any thoughts around kind of what you are thinking about that looking like, or what we should expect (indiscernible) for the balances perspective or just maybe bottom line contribution?
Peter Ho: We think that probably the best way to approach this is with the renewed program as opposed to potentially picking up existing programs. So likelihood is that it will be a from a ground-up type approach. So it’s going to take us a while to pick up balances. The rate at which we pick up balances I think is an interesting thing to think around because we’ve had very good success in effectively helping other institutions sell through to our customer base. So what we are going to be looking to is the degree in which we can reattract back existing customers, what we are going to be looking through to is exactly how much horsepower do we get out of our branch system which we think is pretty considerable. So the bottom line though Brett is I think it’s going to be a pretty slow ramp up and as Kent alluded to earlier, there may be some start-up costs that for at least a while trump the revenue we are generating off of the program. But long term we think it’s a good – it’s a really good strategic product to have in our suite of products.
Brett Rabatin - Sterne, Agee & Leach: And then the other question I wanted to ask which is around the branch profile. I know you’ve fine tuned the franchise here the past year. Should we expect you to further do that in the next year or so and is that basically what you meant I think – Kent was kind of talking about improving efficiency some more, is that basically where a lot of that comes from, or are there other initiatives that might also drive operating leverage as well?
Peter Ho: On the branch profile, we basically have three formats of branches, what we call banking centers which are full service, just about every service we offer at the company is delivered through these larger branches. And then we have at the end of the spectrum our in-store branch fleet of which we have 13 right now. And that’s been a very good format for us from a convenient standpoint. And somewhere in the middle there is what we call our mid-sized branches and what we are doing is trying to figure out where we have overlap in the branch system and take advantage of being able to potential reposition people to branches that are popped up over the relative near term with our in-store fleet as that’s grown. The other opportunity that we have out there is as leases come upon a number of these branches, just the opportunity to reposition either into a more optimal space from a real estate standpoint or into potentially smaller spaces than what we had historically. And that actually has been pretty good source of value for us over the past year or so.
Brett Rabatin - Sterne, Agee & Leach: And then just one last quick one. Will you guys benefit any from the rail system in terms of being able to make loans to the various providers that will be putting that, and how we should think about the benefits of that getting put in on Oahu?
Peter Ho: Well, rail kind of speaks to construction. I mentioned earlier that we’ve seen from the past year and a half construction, I guess probably best described stabilized from the peak in 2007, and to the extent that the rail – well I think that to the extent the rail moves forward and there is still some rumblings as to whether or not that’s going to happen, that will definitely attract development and construction work both in terms of the actual buildout of the system as well as in terms of development opportunities around the stations offices. So longer term that should be a positive for us as lenders and for the construction segment in particular.
Operator: And your next question comes from the line of Jacque Chimera with KBW.
Jacquelynne Chimera – KBW: Majority of my questions have been answered. I just have two really quick ones. Was there any change in the funding cost when the public deposits moved over from the repos into the deposit book?
Kent Lucien: No, Jacque, it’s just a straight move over.
Jacquelynne Chimera – KBW: And then also I read an article, I can’t remember what publication but I read an article that talked about the military presence that would be moving to Oahu that originally it wasn’t thought to have gone there. Do you have any sort of an update or background on that and any effects we might see from that?
Peter Ho: I think what you are referring to is the troop levels for the marines that were originally scheduled to go directly into Guam. And ultimately what they decided to do was break those troop segments up and a portion of that came to Hawaii. So I guess net, net for Bank of Hawaii because we operate in both of those markets it really doesn’t have much of an impact for us economically speaking. Just kind of generally speaking, what we are seeing is despite the fact that the Pentagon obviously is pulling back on its budget, we are benefitting from those repositioning in the Asia Pacific region for our American defense forces. And so the net impact has been what I will call a push, at least to date it’s been a push for us.
Jacquelynne Chimera – KBW: So just kind of better overall spending within the state as far as –
Peter Ho: Within the state of Hawaii, right.
Operator: Your next question comes from the line of Erin Davis with Morningstar Equity Research.
Erin Davis - Morningstar: I’ve had a question about the recoveries, I noticed that the recoveries on loans and leases previously charge-offs fell sharply in the second quarter. Most of that was in commercial and industrial but it was largely across the board. I wonder if you could give us some color on that and what we might expect going forward?
Mary Sellers: In the first quarter, Erin, we had a $1.4 million recovery on a previously charge-off C&I loan. So I think the run rate this quarter would probably be about the same throughout the year. There is a little bit of lumpiness in the residential and home equity space as we go through that designation process.
Operator: Your next question comes from the line of Russell Gunther with Bank of America Merrill Lynch.
Russell Gunther - Bank of America: I have couple of questions just on deposit behaviour in the quarter, with regard to the public money that moved over. Could you comment on your expectations for the stickiness for that funding?
Kent Lucien: It’s fairly stable. And just to be clear that movement from repo to deposit really shouldn’t have any influence on the long term condition of that deposit. But certainly it’s been fairly stable over the last several periods, I am not aware of anything that would change that.
Russell Gunther - Bank of America: And then just on the non-interest bearing deposit side, the rate of growth has been slowing but still inflows are good. I guess could you comment on your expectations going forward there?
Peter Ho: You talking about on the demand side?
Russell Gunther - Bank of America: Non-interest bearing deposits?
Peter Ho: Well, we look at averages and so as I look at our demand business, average – core average demand consumer was up 3%, linked in is up 10% year over year, up 16% year over year on the business. So we have been very pleased with the activity that we see there. It’s a big push in our branch system and our business banking system. It really tried to build relationships and so I mentioned earlier that our consumer checking account growth was 8% year on year. And also we are beginning to see the fruits of that and that I guess mostly manifests itself from the demand segment. So the activity there has been good.
Russell Gunther - Bank of America: And then just a follow up on loan growth, you talked a bit about how commercial has been a bright spot for you guys. You commented earlier in the beginning of the year that you expected a good outlook for commercial. So I guess could you comment on your outlook for the second half relative to what you have seen so far this year?
Peter Ho: Yeah, always a bit of a lumpy business, so it’s a little challenging speaking to quarter or two. But longer term I guess what I would say is we see activity in the commercial real estate space. We see certainly activity on the construction side although, as you know and follow our company that tends to be one of our smaller businesses. And then in the C&I really something to think about there is, there we really have two businesses. One is a large corporate dealing with kind of investment grade funded loans. There we are seeing a fair amount of choppiness as those companies are for the most part trying to extend out their long term liabilities given the rate environment. And then the other segment that we have is more middle markets smaller commercial segment and there we have seen growth now for – consistent growth now for I’d say a year and a half quarter on quarter. So what we would like to do is to continue to build out that segment. That’s a great relationship segment for us and sort of maintain that larger segment.
Russell Gunther - Bank of America: I guess just last one from me would be hoping to see, if you could talk about what drivers of fee income growth might be from here and what would we back on for it?
Peter Ho: I guess fee income growth for the most part gets back to the notion of whether or not we intend to begin charging for our core deposit products. And to date we have avoided that. I am not sure that, that’s a great long term franchise enhancer. So we will have to see, never say never, but as of now that’s not something that’s going to hurt for us.
Operator: And your next question comes from the line of Brian Zabora with Stifel Nicolaus.
Brian Zabora - Stifel Nicolaus & Company: First on the mortgage banking production, can you give us a sense of how much expenses might have been increased by the higher levels of revenue?
Peter Ho: Well, I guess you’re getting at commissions, Brian, I don’t know what that exactly – but the number in variable comp relates directly back to the mortgage side. So it’s something that we’d have to get back to, I am not sure it’s a terribly significant number.
Operator: And at this time, we have no further questions. I would like to turn the call back to Ms. Cindy Wyrick for closing remarks.
Cindy Wyrick: Thank you everyone for joining us today and for your continued interest in the Bank of Hawaii. As always, if you do have additional questions or any further clarification on any other topics discussed today, please feel free to contact me. Have a great day everyone.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a wonderful day.